Operator: Good morning, and welcome to the PennantPark Floating Rate Capital's Fourth Fiscal Quarter 2020 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions]. It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Floating Rate Capital. Mr. Penn, you may begin your conference.
Arthur Penn: Thank you, and good morning, everyone. Welcome to PennantPark Floating Rate Capital's Fourth Fiscal Quarter 2025 Earnings Conference Call. I'm joined today by Rick Allorto, our Chief Financial Officer. Rick, please start off by disclosing some general conference call information and include a discussion about forward-looking statements.
Richard Allorto: Thank you, Art. I'd like to remind everyone that today's call is being recorded and is the property of PennantPark Floating Rate Capital. Any unauthorized broadcast of this call in any form is strictly prohibited. An audio replay of the call will be available on our website. I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Our remarks today may also include forward-looking statements and projections. Please refer to our most recent SEC filings for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at pennantpark.com or call us at 212-905-1000. At this time, I'd like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Arthur Penn: Thanks, Rick. I'll begin today's call with an overview of our fourth quarter results and recent strategic initiatives, including the $250 million portfolio acquisition and our new joint venture, PSSL, I'll then share our perspective on the current market environment and how PFLT is positioned for continued growth. Rick will conclude with a detailed review of the financials, and then we'll open up the call for Q&A. For the quarter ended September 30, core net investment income for the quarter was $0.28 per share. We previously announced the acquisition of a $250 million portfolio and the formation of a new joint venture with an initial targeted portfolio of $500 million. These initiatives underscore our focus on enhancing PFLT's earnings power through scale diversification and disciplined capital deployment, key pillars of our long-term growth strategy. The portfolio acquisition adds high-quality well-known assets, that are projected to increase net investment income by $0.01 to $0.02 per share on a quarterly basis. The JV with Hamilton Lane, a respected global investor enhances our funding sources and provides a scalable platform for future growth. The PSSL 2 JV began investing this month and closed a $150 million revolving credit facility, which bears interest at SOFR plus 175 basis points. The credit facility has an accordion feature, allowing total commitments to increase to $350 million. Our run rate NII is projected to approximate our current dividend as we ramp the PSSL 2 portfolio. Our game plan is to grow PSSL 2 to be in excess of $1 billion in assets similar to our existing joint ventures. As we achieve this game plan, our NII should be well in excess of our current dividend. Regarding the current market environment for private middle market lending, we are encouraged by a steady increase in transaction activity, which we expect will translate into a higher loan origination volumes in the quarters ahead. Additionally, we continue to provide additional capital to many of our existing portfolio companies as they execute their respective growth initiatives, demonstrating the depth and resilience of our origination platform. We are optimistic that the increase in transaction activity will also result in opportunities to exit some of our equity co-investments and rotate that capital into new current income-producing investments. We believe the current environment will favor lenders with strong private equity sponsor relationships and disciplined underwriting, areas where PFLT has a clear advantage. We continue to see opportunities to deploy capital into core middle market companies where leverage is lower and spreads are higher than in the upper middle market. In the core middle market, the pricing on high-quality first lien term loans is SOFR plus $4.75 to $5.25. Leverage is reasonable, and we continue to get meaningful covenant protections while the upper middle market is primarily characterized as covenant light. Turning to our current portfolio. We continue to maintain what we believe is one of the most conservatively structured portfolios in the direct lending industry. This is evidenced by having among the lowest PIK percentages in the industry at 1.8% for the quarter. As of September 30, our portfolio's median leverage ratio through our debt security was 4.5x and the portfolio's median interest coverage was 2x. For new platform investments made during the quarter, the median debt-to-EBITDA was 4.4x. Interest coverage was 2.3x and the loan-to-value was 44%. We had three investments on nonaccrual status and total nonaccruals represent only 0.4% of the portfolio at cost and 0.2% at market value. These strong credit metrics reflect the rigor of our underwriting process and the discipline of our investment approach. We continue to believe that our focus on core middle market provides us with attractive investment opportunities where we provide important strategic capital to our borrowers. The PennantPark platform has a demonstrated track record of value creation through the successful financing of growing middle market companies across five key sectors. These sectors in which we possess deep domain expertise, enabling us to ask the right questions and consistently deliver strong investment outcomes. They are business services, consumer government services and defense, health care and software technology. These sectors have been recession resilient, tend to generate strong free cash flow and have a limited direct impact to the recent tariff increases and uncertainty. Core middle market companies, typically those with $10 million to $50 million of EBITDA, operating below the threshold of broadly syndicated loan or high-yield markets. In the core middle market, because we are an important strategic lending partner, the process and package of terms we receive is attractive. We have many weeks to do our diligence with care. We thoughtfully structured transactions with sensible credit statistics meaningful covenants, substantial equity cushions to protect our capital, attractive spreads and equity co-investment. Additionally, from a monitoring perspective, we received monthly financial statements to help us stay on top of the companies. Regarding covenant protections, while the upper middle market has seen significant erosion, our originated first lien loans consistently include meaningful covenants that safeguard our capital. Our credit quality since our inception over 14 years ago has been excellent. PFLT has invested $8.4 billion and 539 companies, and we have experienced only 25 nonaccruals. Since inception, PFLT's loss ratio on invested capital is only 11 basis points annually. As a provider of strategic capital, he fuels the growth of our portfolio companies. In many cases, we participate in the upside of the company by making an equity coinvestment. Our returns on these equity co-investments have been excellent over time. Overall, for our platform from inception through September 30, we've invested over $596 million in equity co-investments and have generated an IRR of 25% and a multiple on invested capital of 2x. As of September 30, our portfolio grew to $2.8 billion, up from $2.4 billion in the prior quarter. During the quarter, we continue to originate attractive investment opportunities and invested $633 million and 11 new and 105 existing portfolio companies at a weighted average yield of 10.5%. As of September 30, the PSSL 1 portfolio totaled $1.1 billion and during the quarter, invested $89 million in 4 new and 14 existing portfolio companies. We believe that the increase in scale of PSSL's balance sheet will continue to drive attractive mid-teens return on invested capital and enhanced PFLT's earnings momentum. From an outlook perspective, our experienced intelligent team and our wide origination funnel are well positioned to generate strong deal flow, our mission and goal or a steady, stable and protected dividend stream, coupled with the preservation of capital. Everything we do is aligned to that goal. We seek to find investment opportunities in growing middle market companies that have high free cash flow conversion. We capture that free cash flow primarily in first lien senior secured instruments, and we pay out those contractual cash flows in the form of dividends to our shareholders. With that overview, I'll turn it over to Rick for a more detailed review of our financial results.
Richard Allorto: Thank you, Art. For the quarter ended September 30, GAAP net investment income and core net investment income were both $0.28 per share. Operating expenses for the quarter were as follows: interest and expenses on debt were $25.8 million, Base management and performance-based incentive fees were $13.4 million. General and administrative expenses were $2 million and provision for taxes was $0.2 million. For the quarter ended September 30, net realized and unrealized change on investments, including provision for taxes was a loss of $10 million. As of September 30, NAV was $10.83 per share, which is down 1.2% from $10.96 per share last quarter. As of September 30, our debt-to-equity ratio was 1.6x, and our capital structure is diversified across multiple funding sources, including both secured and unsecured debt. Subsequent to quarter end, we sold $118 million of assets to the PSSL 1 joint venture and $191 million of assets to the new PSSL 2 joint venture. We used the net proceeds from these sales to pay down our revolving credit facility and reduce our debt-to-equity ratio to 1.4x and which is at the lower end of our target range of 1.4x to 1.6x. As of September 30, our key portfolio statistics were as follows: the portfolio remains well diversified, comprising 164 companies across 50 industries. The weighted average yield on our debt investments was 10.2% and approximately 99% of the debt portfolio is floating rate. PIK income equaled only 1.8% of total interest income. We have three nonaccruals, which represent of the portfolio at cost and 0.2% at market value. The portfolio is comprised of 90% first lien senior secured debt second lien and subordinated debt, 2% in equity of PSSL and 7% in equity co-investments. The debt to EBITDA on the portfolio is 4.5x and interest coverage was 2x. Now let me turn the call back to Art.
Arthur Penn: Thanks, Rick. In conclusion, I'd like to thank our exceptional team for the continued dedication and our shareholders for their trust and partnership. We remain committed to delivering strong performance, preserving capital and creating long-term value for all stakeholders. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: [Operator Instructions]. We will take our first question from Robert Dodd with Raymond James.
Robert Dodd: I guess, on the portfolio acquisition, particularly, I mean how -- I mean, I guess how did that come about? And secondly, are there more opportunities like that? And what way do you think that is you obviously get a pool of assets there, you don't get to pick and choose, I presume. So I mean what's the value of an acquisition which was a big lump versus deploying the capital into individual investments?
Arthur Penn: Thanks, Robert. Just to take a step back. That was another joint venture that we had with a third-party with all of the same assets in self-originated assets that we originated Actually, those were originated a couple of years ago, so the spreads are high. We know the portfolio very well. So that was really just an acquisition of more of the same type of assets that we already have in PFLT and in fact, many of the same assets that we already have in PFLT.
Robert Dodd: Got it. Got it. On the -- and then just to the point on the market, I mean, it does seem like it's ramping up. Are you seeing any kind of bifurcation. I mean, I think, obviously, logistics companies have been an issue post-COVID, not you, right? I mean -- so are you seeing any kind of application about what you would like to do or what is coming to market in terms of still some things having COVID handovers or these handovers or any thoughts there?
Arthur Penn: Yes. So look, logistics, as you mentioned, is an area that's still dealing with post-COVID. There is a general reversion to the mean that we're seeing throughout the economy where we're seeing softness and this has been broadly reported in the media. The consumer -- the average consumer is relatively soft. Inflation has remained high, and the tariffs did not help that. So the average consumer in America is a little soft, which is kind of in the back of our mind as we underwrite credit. We have very little amounts in consumer brands. We do have consumer services, consumer services, we tend to have are more related to the home, which generally is hanging in there. pretty well. But that's what we think about. The other area is that we focus on government services, defense, health care, those remain pretty strong.
Robert Dodd: Got it. And on that, like -- you do have some good exposure to the government and contracting, et cetera. Is that the shutdown of which obviously went on a while? Did it have any impact on any of the portfolio companies?
Arthur Penn: We have very little exposure to so-called civilian government activities. It's more defense, intelligence things of that nature where the shutdown did not really have an impact. So we're no pun intended, we're well defended there.
Operator: We will take our next question from Brian McKenna with Citizens.
Brian Mckenna: Good morning, Art and Rick. I appreciate the disclosure around the $310 million of assets that were sold to both JVs post quarter end. I'm curious, when were these loans initially originated? And I'm just trying to figure out the NII contribution from these assets in fiscal 4Q, and then really the starting point for NII in fiscal 1Q, given these sales, the scaling of the second JV as well as the full quarter run rate from the portfolio acquisition.
Arthur Penn: Yes. So the -- I think we sent out a press release when we did the portfolio acquisition. I think it was kind of mid-quarter. So we did not get a full quarter of ramp from those assets that we bought the $250 million portfolio. So in our comments, when we said full quarter, it should add about $0.01 to $0.02 per share of NII for a full quarter of those assets. The JV starts to become much more accretive as it scales. So day 1, it's not really accretive. But as it gets to $500 million, $750 billion, $1.2 billion like the other JVs, that's when you start to see the benefit of the scale of it, the financing that you get. You can see the returns that our other two JVs are generating the JV we have in PFLT and in the JV we have in PNNT. If you model a 15% return on that junior capital and you deploy a reasonable amount in that in the Hamilton Lane JV, we're 75% of the junior capital. It starts to become in a very, very attractive addition to the NII. But it's it probably takes a year or 2 before you start to get the benefits of that ramp. We certainly want to ramp it, but we also want to be careful and conservative along the way. And make sure we're putting really solid assets into that joint venture. So the NII contribution for that is probably over, call it, a year depending on deal flow and all of that. So I don't know if I answered your question with that, Brian, but please continue to ask if I didn't.
Brian Mckenna: Yes. No, that's helpful. I appreciate it. And then I guess just a follow-up on the dividend. I think in the prepared remarks, you said as the second JV scales NII should be well in excess of the dividend. And so I appreciate to your prior comments, it's going to take a year or 2 to full year ramp. But thinking about that comment in excess or well in excess of the dividend, I mean is that contemplating the forward curve? Is that contemplating any other kind of credit quality changes? And then what other kind of core assumptions are in that?
Arthur Penn: Yes. Look, we can run models with each other. Certainly, well in excess with the existing surfer curve, certainly the market indicates we have some room to head downward with SOFR. But I think even if you take the market's assumption of where SOFR is going to be a year out, I think we should -- based on our numbers, and we can compare models, I think we're still covering the dividend reasonably well.
Operator: We will take our next question from Doug Harter with UBS.
Douglas Harter: Thanks. Can you just talk about kind of where you're seeing new loan spreads and sort of kind of any stabilization there? And then how that compares to what you're seeing on new financing costs?
Arthur Penn: Yes. So I think we talked about our new JV guide credit facility at the SOFR plus 175. So that's kind of our most recent comparable kind of loan that we can access. I think we said in our stated remarks that we've seen it kind of in the 4.75% to 5.25% range on average in our world now our world a little bit lower risk, i.e., our average debt to EBITDA is in the mid-4s, we're not stretching for -- we're not stretching for yield. Our loan to values are kind of 40-ish percent. So in our box, we're okay taking we're okay taking a little lower yield if the credit is really, really solid. So we will do a $475 million or $500 million. If we really feel good about the credit, the and the value and the low leverage. Again, that shows up in the PIK percentage 1.8%, we're probably among the lowest in the industry in terms of the amount of PIK Obviously, if you have higher leverage in your book, whether it's 6x, 7x ARR loans, whatever you want to call them, pick is more of a requirement because of the higher leverage.
Operator: We will take our next question from Arren Cyganovich with Truist Securities.
Arren Cyganovich: Following up on the prior questions. The portfolio acquisition boosted leverage to around 1.6x and then subsequently to that, so it went back down to 1.4x. Is that 1.4x? Does that run rate cover the dividend? And how much if you were just to exclude PSSL, does that cover the dividend? I'm just trying to kind of have the puts and takes and put those to your comments.
Arthur Penn: Yes. Look, we're happy to go through model inputs and such. Our general leverage range is 1.4x to 1.6x. So as you saw, sometimes we'll take it up to 1.6x, we'll move assets into our two JVs. We'll get down to 1.4x. And so I guess if you wanted to model 1.5x kind of middle of that range. And yes, if you kind of model -- our belief is if you model 1.5x, if you grow the JV over time, we should be able to easily cover our dividend. And even if you took a SOFR reduction and put that and we believe so. So we can go through the -- we can go to model with you and go through scenarios with you, but that's -- as we look at the scenarios of ramping the second JV. We do hope we do get some equity rotation. As M&A happens, we believe we should be able to get some equity rotation, which help out a lot if you take this joint venture and you model it out similar to our other two joint ventures, that's kind of where we land.
Arren Cyganovich: Got it. That's helpful. And then the credit quality has been solid, really for the industry. Here, you have some small one-offs here and there. Maybe you could talk a little bit about the strength of your underlying portfolio companies and what you're seeing in terms of trends and average EBITDA and revenues for your portfolios?
Arthur Penn: Yes. I don't know if we put it in prepared remarks, we are seeing kind of double-digit growth in revenues and probably single-digit growth and mid-single-digit growth. Again, kind of what we chatted about earlier, it's industry and company specific, of course. Logistics we talked about, there's a couple choppier credits there. we're focused a lot on the consumer and kind of how the consumer is faring in this environment. So we're focused on that. By and large, the portfolio is healthy. So to have all the names that we had well over 100 and have a handful of choppier names is totally expected. It's what we model. Of course, we're -- any of these portfolios, you're going to have a handful of names that are one way share perform experiencing issues. Sometimes they rebound, sometimes they don't. But we think the number of choppier credits is relatively minor at this point. And the watch list of things that we're kind of looking is nothing really unusual about what's going on right now. We're not seeing any systemic issues with credit at this point in the economy or direct lending at this point in the economy. It's kind of the same old story here.
Operator: We will take our next question from Paul Johnson with KBW.
Paul Johnson: What happened with your investment in Bilight quarter-over-quarter? It looked like maybe there was a little bit of a payoff there some sort of realization. But just curious what happened in that company?
Arthur Penn: Yes. There was a dividend recapitalization and we are in the equity, that's one where we have an equity co-invest. There was a realized gain of about $0.04 a share.
Paul Johnson: And that's $0.04 in terms of dividend income this quarter? Or is that just the realized gain that was taken?
Arthur Penn: That was not an income element. That was a NAB element. So we had some realized gains. We had some realized losses. Walker Edison was the big realized loss that was already written down. It was unrealized, it became realized something called LAV gear was realized and when through a restructuring. So it was a realized $0.05. So Walker Edison was realized $0.12 per share LAV gear was realized $0.05 per share and then this Bilight was a realized positive of $0.04 a share.
Operator: We will take our next question from Christopher Nolan with Ladenburg Thalmann.
Christopher Nolan: Is it correct here that the EBITDA coverage was 4.5x, 4.4x?
Arthur Penn: 4.4x would be the debt to EBITDA, yes.
Christopher Nolan: Am I correct that it sort of seems like either the leverage is going down on these portfolio companies or the EBITDA is going up? I presume your EBITDA is going up. Is that a fair assumption?
Arthur Penn: Well, it could be both. It depends on the company as we just said, EBITDA is going up a bit in the portfolio. And also if we're underwriting correctly, the companies are deleveraging and paying debt down, which is -- which, of course, is our goal. We'd love to see pay down and -- and then on the new deals, the new deals that come in are again relatively low leverage and kind of in the low to mid 4s.
Christopher Nolan: Okay. And then on the stock price is trading 17% below book. Any consideration in terms of buybacks? Or does all the joint ventures sort of restrict your abilities to do that given the leverage ratio?
Arthur Penn: The Board of Directors always considers all options including buybacks, insiders or continual buyers of our portfolios, both public funds and private funds. So it does appear to be a good value right now.
Operator: There are no further questions at this time. I will now turn the conference back to Mr. Penn for any additional or closing remarks.
Arthur Penn: Thanks, everybody, for your participation in this Thanksgiving season. We are certainly grateful for the trust that our shareholders have given us. We wish everyone a terrific Thanksgiving and holiday season, and we'll speak to you in early February.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.